Operator: Good day, and thank you for standing by. Welcome to the authID Inc. Q3 Fiscal Year 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. You will then hear an automated message advising that your hand is raised. To withdraw your question, please press 11 again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Graham N. Arad, General Counsel. Please go ahead.
Graham N. Arad: Thank you, Operator. Greetings and good afternoon. This is Graham N. Arad, General Counsel of authID Inc. Welcome to the authID Inc. third quarter 2025 results conference call. As a reminder, this conference is being recorded. Joining me on today's call are our CEO, Rhoniel A. Daguro, our CFO, Edward C. Sellitto, and our founder and CTO, Tom Szoke. By now, you should have access to today's press release announcing our third quarter 2025 results. If you have not received this, the release can be found on our website at investors.authid.ai under the news and events section. Throughout this conference call, we will be presenting certain non-GAAP financial information. This information is not calculated in accordance with GAAP and may be calculated differently from other companies' similarly titled non-GAAP information. Quantitative reconciliation of our non-GAAP adjusted EBITDA information to the most directly comparable GAAP financial information appears in today's press release. Before we begin our formal remarks, let me remind everyone that part of our discussion today will include forward-looking statements. Such forward-looking statements are not guarantees of future performance. Therefore, you should not put undue reliance on them. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. Some of these risks are mentioned in today's press release. Others are discussed in our Form 10-Ks and other filings made available at www.sec.gov. Finally, if you are listening to this call via the webcast, you will be able to see the results presentation and advance the slides yourself as prompted by our speakers. I'd now like to introduce our CEO, Rhoniel A. Daguro.
Rhoniel A. Daguro: Thank you, Graham. Thank you all for joining us today. I will walk you through our top-line performance, our customer and partner updates, our product and technology updates, and our priorities for the remainder of the year. Since becoming CEO, our management team has sought to build a balanced portfolio of both FAST 100 companies with potential for explosive growth and FAT 100 companies with stable operations and strong balance sheets. Initially, we focused on the FAST 100 as authID Inc. had not yet built the reputation to be credible with the FAT 100. That began to change in 2025 with the addition of several FAT 100 clients I will be sharing with you today. While making great progress this year with numerous prospective key customers, unfortunately, we saw two major early FAST 100 engagements underperform, resulting in negative net revenue for the third quarter. In 2024, we signed a customer contract with clear assurances and the expectation that the customer would meet their contractual obligation. However, reflected in our financials, the customer faced significant challenges to meet the agreed-upon requirements. As disclosed in our 10-Q, we proactively stopped recognizing revenue from them. We are still in active conversations with this customer, who continues to make introductions to more potential customers, but we do not plan to recognize any further revenue from them until we agree on revised terms and they complete the changes they are making to implement their new business model. Regarding the second customer contract, we recorded approximately $700,000 in estimated concessions that relate to an annual usage minimum fee payable at the end of the year. While this customer is experiencing its own business challenges, they remain a valued and strategic partner to us as we believe their activity will ramp over time. But we have adjusted our revenue to reflect this timing. The accounting adjustments for these two contracts drove the negative net revenue for the quarter. On the next slide, in terms of new contracts, in the third quarter, we booked two large enterprise customers and we booked two smaller customers, which were not enough to offset the revenue adjustments. These four contracts represent $200,000 in BAR for 2025. The first contract, as announced in a press release, is one of the largest global retailers based in the UK and represents significant validation of authID Inc.'s technology. They are initially using authID Inc.'s biometric authentication to protect their back-office employee workforce and call centers. The second contract is a phase one of a multiphase strategy where we embed authID Inc. inside NESIC's platform. NESIC, a subsidiary of NEC, will use authID Inc. for identity verification and employee onboarding. The third contract is with the Pipeline Group, a fast-growing lead generation company that will use authID Inc. to onboard remote workers, monitor worker activity, and authenticate remote workers into core systems. This represents our entry into the growing lead generation market. The final contract is with an international bank for identity onboarding, identity verification, and authentication. Onto the next slide. It's important to note that authID Inc.'s new customer list and target customer list is much different today than a year ago. The caliber and the scale of customer opportunities we are now engaged in have improved significantly and reflect the excitement around our unique technology. To that end, I think it is important for me to share some of the descriptions of the customers we are actively engaged with. While we are not permitted to provide the names of these customers for contractual reasons, some notable examples include household names across target industries that will expand our reach. First, a global leader in payroll technology, the largest global biometric hardware provider, a global leader in digital payments, a tier-one AI chip manufacturer, global professional sports organizations, one of the largest European retail chains, a major US healthcare network, a global cosmetics retailer, a national US specialty retailer, a leading US energy company, a Fortune 500 identity and access management company, a major luxury hotel operator, and one of the largest hotel brands. Again, these are not just targets but active engagements with industry principals. Even a year ago, none of these top-tier organizations would have considered authID Inc. Today, they are actively engaging with us because of the quality of our technology. Just this list alone represents over $20 million in BAR authID Inc. is actively engaged in closing. Our goal was to close enough of these opportunities to achieve our $18 million BAR target for 2025. Unfortunately, due to the longer sales cycles of these enterprise deals, our new BAR target for 2025 is now reduced to $6 million. Moving to the next slide. The strongest endorsement of our technology comes from our current channel partners. We have over 25 partners, many of which are the most established category leaders in their respective markets. Let me tell you about three partners specifically. Last quarter, I described our enthusiasm and appreciation for our partnership with NESIC, a part of NEC Corporation, which is a $20 billion global company that can work with anyone they choose. They chose authID Inc. An incredibly powerful statement about our technology. AuthID Inc. is now embedded in NESIC's software. Building on this partnership, NESIC and authID Inc. have agreed to work together to deliver enterprise identity management and AgenTek AI security solutions. Another key partner is Prove, one of the largest identity security platforms in the industry. Prove has selected authID Inc.'s PrivacyKey product as the biometric authentication solution for their next-generation platform. The unique cryptographic signing capability of PrivacyKey opens new business opportunities for Prove and authID Inc. Last quarter, I mentioned that we were working on signing a joint customer with Prove. I'm happy to note that this joint customer, a fintech company that provides digital infrastructure for more than 150 banks, has contracted with authID Inc. directly to launch our technology into their platform. We signed a contract with them in October, with their first bank going live next month. Finally, MajorKey, one of the largest Microsoft providers of identity solutions and services, announced last week their launch of ID Proof Plus leveraging biometric technology developed in collaboration with authID Inc. This is another example of companies launching their most important services and capabilities on authID Inc.'s core technology. Just discussed how our partnerships lead us to new opportunities. Now I'm going to talk about our greatest strengths, authID Inc.'s products and technology. On the next slide, as part of the foundational rebuild needed when I joined authID Inc., we had to make significant product breakthroughs to unlock enterprise adoption, specifically for our FAT 100 large enterprise accounts. In response to this need, we introduced two major innovations that I've already mentioned. The first one is PrivacyKey, which is biometric authentication without storing biometrics. As expected, with the existing contract signed, PrivacyKey adoption is ramping. The next one is IDX, which provides enterprise scalability and identity assurance for distributed workforces and supply chains and biometrically secures humans, nonhumans, and AI agents. Let me comment on the term AI agents. On the next slide, AI agents represent a massive opportunity in the market today. Industry analysts project trillions to flow through AgenTek AI commerce and hundreds of billions of that will be for AgenTek AI security. We've already heard from customers that they are slow-rolling the launch of AgenTek AI projects due to the lack of governance because unaccountable AI agents bring substantial risk of misuse and abuse. In response, we have added new capabilities to our IDX platform to tie each AI agent to a human to create accountability for all AI agent actions and behaviors. IDX provides accountability, compliance, security, and audit for the AgenTek AI-driven enterprise, and I believe we are going to be the most important company leading that category. The development of these innovations was required to deliver strong foundational capabilities and tech innovation. Many customers, partners, and industry experts acknowledge we have some of the best technology in the market. If you pick any industry, you're talking to the number one and the number two in that space. The best companies want to use the best technology available, and I believe we have that capability, which brings me to my final slide. The market is starting to value biometric solutions as an indispensable technology. To us, this has been obvious for years, but the market is waking up to the identity risks of AI. I say all of this to reiterate that authID Inc. is viewed as one of the few leaders in the marketplace for biometric authentication, AI deepfake detection, and now AgenTek AI security. The demand is so high for biometrics that a major identity company just recently acquired a biometrics company. We have received incredible validation of our technology with some of the largest and most valuable companies in the world. Therefore, our mandate for the remainder of the year into 2026 is clear: continue to serve the companies that entrust us to manage their biometric authentication needs and win the $20 million-plus in enterprise deals we are currently engaged in. We have made incredible progress to date. As a shareholder myself, I've never been more excited about the future of authID Inc. Thank you very much for listening. And now I'll turn it over to our CFO, Edward C. Sellitto.
Edward C. Sellitto: Thank you, Ron. Thank you all for joining us today. I'll now review the financial results for the quarter. As Ron discussed earlier, our third quarter was impacted by contractual challenges with two customers. Our resulting third-quarter revenue adjustments exceeded our sales in the quarter, resulting in negative net revenue. I will expand on these adjustments in a moment. Looking at our GAAP results, for this quarter, we are breaking out our revenue into both gross and net revenue. Net revenue is equal to gross revenue minus any customer discounts and concessions. Gross revenue for the quarter was $600,000 compared to $200,000 last year. Net revenue, which reflects Q3 concessions totaling $700,000, was a negative $100,000 compared with a positive $200,000 last year. For additional context, I'll expand on Ron's earlier comments regarding the two contracts impacting net revenue. The first contract is with a partner signed in October 2024, which is delayed in ramping their usage due in part to a change in their own go-to-market strategy as well as recent challenges that arose with doing business in international markets. After we experienced delays in payment from this customer in 2025, the customer ultimately made a partial payment in the third quarter but requested a contract amendment before committing to making further payments. Since then, we have received no further payments nor have we amended our contract. Until any further negotiations are concluded, we have ceased revenue recognition for this contract and adjusted contract balances to reflect only the amount, approximately $400,000, that has been paid to date. The second contract that impacted our third-quarter revenue relates to the $700,000 in concessions estimated to be granted to a customer who is also delayed in their usage and is tracking significantly below their annual minimum usage commitment. This customer was signed in 2023 and began ramping in 2024 toward their commitment. The customer's usage declined unexpectedly due to shifts in their marketing strategy and remained significantly below the minimum commitment by September 30, 2025, despite consistent communication from the customer that they projected their usage to resume its growth. That said, the customer has paid all amounts due for their actual usage in compliance with our agreements. Given the customer's strategic importance to the company, as well as management's belief in their future anticipated usage growth and ongoing new business development opportunities, the company expects to make a concession on the annual minimum fee in order to maintain the relationship going forward. Revenue and performance obligations for this customer were adjusted in the third quarter to account for the estimated concession. Before moving on to the remaining financial results, I want to reiterate Ron's sentiment. We hope these customers can deliver growth in their business to fulfill our signed contracts. We are encouraged by the fact that we maintain relationships with each customer, are able to collect partial payments, and have year-over-year growth in our remaining customer base. We also proactively addressed this issue by focusing our efforts to work with larger, established enterprise organizations. Moving on to the remaining GAAP metrics, operating expenses for Q3 were $5.1 million compared to $3.8 million a year ago. The year-over-year increase is primarily due to increased headcount and investment in sales and R&D as we continue to execute our enterprise sales strategy. Net loss for the quarter was $5.2 million, of which non-cash charges were $1.1 million. This compares to a net loss of $3.4 million for the same period last year, which included $600,000 in non-cash charges. Net loss per share for the quarter was $0.38, compared with $0.31 a year ago. Turning to RPO on the next slide, remaining performance obligation, or RPO, represents the minimum revenue expected to be recognized from our signed contracts based on our customers' contractual commitments. As of September 30, 2025, our total RPO was $3.6 million, a decrease of approximately $10.9 million over the prior quarter as we recognized contracted revenue in Q3 and adjusted for payment issues and concessions related to the customer contracts I described earlier. Our RPO for the quarter is slightly below the RPO at the same time last year, which was $3.8 million. The combination of the one-off challenges we incurred with earlier contracts and our resulting proactive shift to pursue major enterprise customers with longer sales cycles has resulted in a temporary decline in our RPO, which we expect to resume its upward trend as we gain traction closing deals in our pipeline in the coming months. On to our non-GAAP results on the next slide, adjusted EBITDA loss was $4.1 million for Q3, compared with a $2.9 million loss for the same period last year. As described with our operating expense results, the year-over-year increase in EBITDA loss is primarily due to increased headcount and investment in sales and R&D. Next is annual recurring revenue, or ARR, which is defined as the amount of recurring revenue recognized during the last three months of the relevant period multiplied by four. ARR as of Q3 is $1.7 million, compared to $1 million of ARR as of Q3 2024. The year-over-year growth reflects our proactive efforts to sign and go live with established market leaders, including Prove Identity and the major global retailers signed this year. Turning to BAR, or booked annual recurring revenue, which is the projected amount of annual recurring revenue we believe will be earned under contracted orders, looking at eighteen months from the date of signing of each customer contract. The gross amount of BAR signed in 2025 was $200,000, down from $1.15 million of gross BAR a year ago. The decrease in BAR for the quarter is a result of the longer sales cycles associated with our enterprise deals as we progress through these more expensive sales conversations. As previously explained during our quarterly earnings call, BAR comprises two components, which we refer to as CAR and UAC. CAR, or committed annual recurring revenue, represents the total annual customer contractual commitment through fixed license fees and minimum usage commitments. These commitments are directly recognized as revenue in each contract year after each customer goes live with the service. Q3 2025 CAR represents $110,000, approximately 58% of reported BAR. UAC, or estimated usage above commitment, is an estimate of annual customer usage that will exceed contractual commitments. Q3 UAC represents the remaining $80,000, or 42% of reported BAR. Turning to our revenue growth stages on the next slide, I'll conclude by revisiting our progress aligned to the revenue growth stages we report each quarter. The first milestone we use to monitor our growth is bookings as measured by BAR. Through Q3, we realized a total gross BAR of $2.4 million. We've seen the momentum build with a number of new enterprise prospects in our pipeline, and we've seen others progress to more advanced sales stages. While the timeline for larger enterprise deals is drawing out longer than expected, the demand for biometric solutions and excitement over our technology is there from our customers and prospects. We're focused on bringing more of these deals with market-leading organizations over the finish line as we exit 2025. The next milestone is our remaining performance obligation, or RPO. As I detailed earlier, as of Q3, we have approximately $3.6 million in RPO, a number that we expect to climb back towards its previous levels as our bookings come in during the coming months. Our third milestone is revenue recognized in accordance with GAAP. Our Q3 year-to-date revenue of $1.6 million continues to surpass our 2024 full-year revenue, and we expect this growth to continue in Q4 as our core customers continue to go live and ramp. As we've called out in prior earnings calls, customer retention and expansion remain an important focus of ours, particularly in establishing that our customers get value from using our solutions and want to continue working with us as their needs grow and we offer new product capabilities. I'll end by saying that despite the turbulence we've faced as a younger company, we are witnessing a growing market, particularly in the enterprise, that is increasingly turning to biometrics. We're watching our prospects' excitement to engage as we demonstrate our solutions. As we've already started to do, I strongly believe we can continue to sign up large household brand names to use authID Inc. to secure their workforce and their customers. I hope that at least a few will even allow us to reveal their names to you all and share in our excitement along the way. With that, Operator, we'd now like to open up for questions.
Operator: Certainly. As a reminder, to ask a question, please press 11 on your telephone and wait for your name to be announced. And we do have a question in queue.
Rhoniel A. Daguro: One moment.
Operator: At this time, I would like to turn the call to Rhoniel A. Daguro, CEO, for closing remarks.
Rhoniel A. Daguro: Thank you. We'd like to thank everyone for listening to today's call. If you have any further questions about our progress, please reach out to Investor Relations at investor-relations@authid.ai. We'd be happy to address the questions accordingly. We look forward to speaking with you when we report our full-year results in March. Thank you again for joining us.
Operator: And this concludes today's program. Thank you for participating. You may now disconnect.